Operator: Good evening and thank you for standing by for the New Oriental’s FY 2020 Second Quarter and Interim Results Earnings Conference Call. At this time, all participants are in a listen-only mode. After management's prepared remarks, there will be a question-and-answer session. Today's conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the meeting over to your host for today's conference, Ms. Sisi Zhao.
Sisi Zhao: Thank you. Hello, everyone, and welcome to New Oriental's second fiscal quarter 2020 earnings conference call. Our financial results for the period were released earlier today and are available on Company's website as well as on newswire services. Today, you will hear from Stephen Yang, Chief Financial Officer. After his prepared remarks, Stephen will be available to answer your questions. Before we continue, please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our results may be materially different from the view we express today. A number of potential risks and uncertainties are outlined in our public filings with the SEC. New Oriental does not undertake any obligation to update any forward-looking statements, except as required under applicable law. As a reminder, this conference is being recorded. In addition, the webcast of this conference call will be available on New Oriental's Investor Relations website at investor.neworiental.org. I will now turn the call over to Mr. Yang. Stephen, please go ahead.
Stephen Yang: Thank you, Sisi. Hello, everyone and thank you for joining us on the call. We are very pleased to report a set of solid financial results in the second fiscal quarter of this year, delivering both accelerated topline growth and continued operating margin expansion. Total net revenue growth was $785.2 million, representing a growth of 31.5% or 34.8% if measured in RMB, exceeding the high end of our expected range. Net revenues from educational programs and services for the second quarter were $723.3 million, representing a 33.0% increase year-over-year. The growth was mainly driven by increase in student enrollments in K-12 after-school tutoring courses, which continued its strong momentum and achieved a year-over-year revenue growth of approximately 46% in dollar terms or 49% if computed in RMB. We continued to be guided by our Optimize the Market strategy in this quarter and carried out our capacity expansion in cities where we see potential for rapid growth and strong profitability. During this quarter, we added a net of 41 learning centers in existing cities, opened a new training school in the city of Huizhou, and a dual-teacher model school in the city of Chengde. By the end of this quarter, the total square meters of classroom area increased by approximately 25% year-over-year, and 6% quarter-over-quarter. Total student enrollments in academic subjects tutoring and test preparation courses in the second fiscal quarter of 2020 increased by 63.3% year-over-year to approximately 3,789,200. Please note that the higher-than-normal increase in student enrollments is primarily due to the division of the autumn semester into two parts, meaning that the student enrollments are reported separately and fall into separate quarters. At the same time, we continued our efforts in upgrading our online-merger-offline standardized classroom teaching system, while the interactive courseware in the POP Kids program was rolled out to more cities. We are very encouraged to have received positive feedback from our customers and see sustained improvement in customer retention rate. We also continued to make strategic investments into our dual-teacher model classes as well as new initiatives in K-12 tutoring, our pure online education platform, Koolearn.com, to leverage our advanced teaching resources in lower-tiers cities and those in remote areas. Following last quarter's strong bottom line performance, we once again achieved year-over-year operating margin expansion in this quarter. During this quarter, we recorded non-GAAP operating income of $36.5 million compared to a loss of $14.9 million in the same period of last year. Non-GAAP operating margin rose by 720 basis points to 4.7% from negative 2.5% a year ago. The continued margin expansion is mainly driven by better leverage in classroom rental and related operating expenses just as we consistently improve the utilization of facilities. In addition, supported by a standardized, modularized, and systemized operating process, we achieved an outstanding improvement in operational efficiency within each key business unit. We are confident that we will be able to deliver continued margin expansion and generate sustainable long-term value to our customers and shareholders. Per program blended ASP, which is cash revenue divided by total student enrollments, decreased by about 10% year-over-year. We’d like to note that the lower than normal blended ASP is primarily due to the change in the tuition fee collection schedule for our K-12 after-school tutoring courses, as explained above. The number of the students we recruited and the amount of fees collected during the quarter reflects the second half of the autumn semester, winter semester, and the first half of the spring semester. Therefore, our blended ASP for the second quarter of 2020 appears to be lower. Hourly blended ASP, which is GAAP revenue divided by total teaching hours, increased by approximately 6% year-over-year in RMB terms. To provide a breakdown of hourly blended ASP, please note that U-Can program increased by 7%, POP Kids increased by 11%, and overseas test prep program increased by 7%, all year-over-year in RMB terms. Now, let's move on to the second quarter performance across our individual business lines. As mentioned earlier, our key revenue driver, K-12 all subjects afterschool tutoring business, achieved year-over-year revenue growth of 46% in dollar terms or 49% in RMB terms. Breaking down, the U-Can middle school/high school all-subjects after-school tutoring business recorded a revenue increase of 43% in dollar terms or 46% in RMB terms for the quarter. Our student enrollment grew approximately 55% year-over-year for the quarter. Our POP Kids program delivered outstanding results with revenue up by about 51% in dollar terms or 55% in RMB terms for the quarter. Enrollment in the program went up about 87% for the quarter. The overseas test prep recorded a revenue increase of 3% in dollar terms or 5% in RMB terms for the quarter. The consulting business recorded revenue growth of about 1% in dollar terms or 4% in RMB terms year-over-year for the quarter. Finally, VIP personalized classes business recorded revenue growth of about 37% year-over-year in dollar terms or 40% in RMB terms year-over-year for the quarter. Next, I'll provide some updates on the progress we're making with our optimized market strategy. Beginning with our offline business this quarter, as mentioned earlier, we added a net of 41 learning centers in existing cities, opened a new training school in the city of Huizhou, and dual-teacher model school in the city of Chengde. Altogether, this increased the total square meters of classroom area by approximately 25% year-over-year and 6% quarter-over-quarter by the end of this quarter. By the end of Q2 2020, the dual-teacher class model has been introduced into the POP Kids program in 48 existing cities, for U-Can program in 30 existing cities, and for both POP Kids and U-Can K-12 businesses in 7 new cities. The initiative supported increased market penetration in those markets we have tapped into. We also saw improved customer retention rate and scalability of this new model. With this proven result, we will continue this strategy in the rest of the year. On the digital technologies front, we’ve added $44 million in the quarter to improve and maintain our online-merger-offline, called OMO standardized classroom teaching system. Most of the investments were reported under G&A expenses. Furthermore, we also made stable progress in the pure online Koolearn.com business line and other supplementary online educational products, which is experiencing growing market demand. More resources are invested into the executing new initiatives in pure online K-12 after-school tutoring business in fiscal year 2020. The investment includes constant development, teaching, recruiting, and training, sales and marketing, R&D and other necessarily cost and expenses to drive the growth for new pure online programs. With these programs, we're able to reach more students in low-tier cities in an interactive and scalable manner. We believe this will help the Koolearn.com to gain new market share in the online education space and drive top line growth. Now, let me walk you through the other key financial details for the second quarter. Operating costs and expenses for the quarter were $759.9 million, representing a 21.1% increase year-over-year. Non-GAAP operating costs and expenses for the quarter, which exclude share-based compensation expenses, were $748.7 million, representing a 22.0% increase year-over-year. Cost of revenues increased by 19.6% year-over-year to $359 million, primarily due to increases in teachers' compensation for more teaching hours and higher rental costs for the increased number of schools and learning centers in operation. Selling and marketing expenses increased by 17.7% year-over-year to $107.8 million. G&A expenses for the quarter increased by 24.4% year-over-year to $293.1 million. Non-GAAP G&A expenses, which exclude share-based compensation expenses, were $282.1 million, representing a 27.1% increase year-over-year. Total share-based compensation expenses, which were allocated to related operating costs and expenses, decreased by 18.1% to $11.2 million in the second fiscal quarter of 2020. Operating income was $25.3 million, representing 188.6% increase year-over-year. Non-GAAP income from operations for the quarter was $36.5 million, representing a 345.6% increase in the year-over-year. Operating margin for the quarter was 3.2%, compared to a negative 4.8% in same period of prior fiscal year. Non-GAAP operating margin, which exclude share-based compensation expenses for the quarter was 4.7%, compared to a negative 2.5% in the same period of prior fiscal year. Net income attributable to New Oriental for the quarter was $53.4 million, representing a 306.9% increase from the same period of prior fiscal year. Basic and diluted earnings per ADS attributable to New Oriental was $0.34 and $0.34, respectively. Non-GAAP net income attributable to New Oriental for the quarter was $57 million, representing a 147.8% increase from the same period of prior fiscal year. Non-GAAP basic and diluted earnings per ADS attributable to New Oriental was $0.36 and $0.36, respectively. Net operating cash flow for the second quarter of 2020 was approximately $291.8 million. Capital expenditures for the quarter were $52.4 million, which were primarily attributable to opening of 78 facilities and new learning centers and renovations at the existing learning centers. Turning to balance sheet, as of November 30, 2019, New Oriental had cash and cash equivalents of $1,047.6 million, as compared to $1,414.2 million as May 31, 2019. In addition, the Company had $348.3 million in term deposits and $2,221.5 million in the short-term investments. New Oriental's deferred revenue balance, which is cash collected from registered students for courses and recognized proportionally as revenue as the instructions are delivered, at the end of the second quarter of fiscal year 2020 was $1,570.4 million, an increase of 25.6%, as compared to $1,250.3 million at the end of the second quarter of fiscal year 2019. Before moving on to our outlook and guidance for the third quarter, I would like to provide some updates on the Koolearn. Koolearn Technology Holdings Limited, a subsidiary of New Oriental, which provides online extracurricular education service in China also announced its interim results for the fiscal year 2020 earlier today. I'd like to emphasize that Koolearn is very important platform for New Oriental, and we’re optimistic about the opportunities is online education market and confident in our investments into the platform. During the period, Koolearn has undergone a process of restructuring its college education business line, which had some negative impact on Koolearn near-term revenue growth. Koolearn also continued to invest more resources in executing new initiatives in the areas of content development, teachers recruitment and training, sales and marketing, research and development, and other necessary costs and expenses to drive the growth of new online programs. For the first six months ended November 30, 2019 Koolearn recorded an 18.8% year-over-year increase in revenue to RMB 567.6 million or $81 million. Gross profit was RMB 317.1 million or $45.2 million. Loss of the period was RMB 87.5 million or $12.5 million compared to a profit of RMB 36.2 million in the same period of prior fiscal year. It's encouraging that one of our K-12 business new initiatives, location-based live interactive after-school tutoring courses or Dongfang Youbiao, DFUB, have been rolled out to 128 cities in China and recorded the enrolment growth of 186.2% year-over-year. For more details, please refer to Koolearn's financial results announcement in full. Looking ahead into the next quarter and the rest of the fiscal year 2020, we’ll continue to be guided our Optimize the Market strategy and further ride upon the success and momentum we have built. We're confident about capturing a wider range of the market opportunity moving forward. To provide more detail on our areas of focus for the rest of the year. First, we will continue to expand our offline business. We aim to add around 10% to 25% capacity, including new learning centers and expanding classroom area of some existing learning centers for K-2 business in existing cities. In addition, we’ll continue to roll out our dual-teacher model schools to number of new low-tier cities in certain provinces for the whole year. Second, we’ll continue to leverage our investments into digital technologies and introduce our online-merge-offline system to more offline language training and test offerings, especially for our K-12 tutoring and overseas key businesses. We’ll continue to make investments, and we believe that total standing in absolute dollar terms in fiscal year 2020 will increase compared to the prior fiscal year. Furthermore, we’ll continue to invest in and execute new initiatives, including product development, teachers recruiting, training, R&D, as well as sales and marketing expenses in pure online K-12 after-school tutoring business on our Koolearn.com. Third, our top priority will remain as the focus on optimizing utilization of facilities and controlling costs and expenses across the Company to drive the continued margin expansion and increased operational efficiency. The new facilities built in the last two fiscal years are being ramped up more efficiently than before. We expect our non-GAAP operating margin of the offline language training and test prep business to continue to expand in the second half of fiscal year 2020. This improvement is expected to cover the margin pressure resulting from our online investment in the Koolearn.com. On the whole, we expect our overall non-GAAP operating margin to continue to improve year-over-year in fiscal year 2020 compared to the year-over-year decline in last two fiscal years. Fourth, as of today, we have decided to move two days of classes in our Wuhan New Oriental School from before the Chinese New Year to after the Chinese New Year in view of the diseases cases. Classes will be taught via our online live broadcasting technology if the learning centers operations remain suspended after the Chinese New Year. Please note that classes in the cities except Wuhan have not been adjusted or suspended. The health and safety of our students is our top priority, and we will continue to closely monitor the situation and cooperate with the relevant authorities. Also note, we have taken the impact from the conditions in Wuhan into consideration in our third quarter’s guidance. The impact is immaterial, based on our current estimation. Finally, the recent RMB depreciation against the U.S. dollar might cause impact on our earnings in dollar terms for the third quarter of 2020. Finally, I would like to emphasize we have great confidence in fundamentals of our business, which we believe will continue to remain strong. As we continue to execute our Optimize the Market strategy, we are certain that New Oriental will continue to capture the sustainable growth opportunities in the market and deliver long-term value for our shareholders. Looking at the near-term and our expectations for the next quarter. We expect total net revenues in third quarter of fiscal year 2020 to be in the range of $983 million to $1,006.4 million, representing year-over-year growth in the range of 23% to 26%. If not taken into consideration the impact of the potential change in exchange rate between RMB and U.S. dollars, the projected revenue growth rate in our functional RMB -- in our functional currency RMB, it is expected to be in the range of 26% to 29% for the quarter of fiscal year 2020. The exchange rate used to calculate expected revenue for the third quarter for fiscal year 2020 is 6.95. The historical exchange rate used to calculate revenues for the third quarter of fiscal year 2019 was 6.81. I must mention that this expectation reflects New Oriental’s current and preliminary view, which is subject to change. At this point, I'll take your questions. Operator, please open the call for this. Thank you.
Operator: The question-and-answer session of this conference call will start in a moment. In order to be fair to all callers who wish to ask questions, we will take one question at a time from each caller. If you have more than one question, we please request to join the question queue again after your first question has been addressed. [Operator instructions] Your first question comes from the line of Mark Li from Citi. Please ask your question.
Mark Li: Hi, management. Congratulations on the very strong margin performance for this quarter. We think it’s beaten guidance by -- pretty nicely. May I know what are the reasons, major reasons for the non-GAAP OP margin beat for this quarter? Also, I would like to know maybe our revenue guidance breakdown across different segments? Thank you.
Stephen Yang: Okay, Mark. Yes. We’ve beaten the margin guidance a lot. Our non-GAAP operating margin rose by 720 basis points in this quarter. I think it's because of the following reasons. Number one is, I think the continued margin expansion is mainly driven by the better utilization of the facilities. Typically, our-top line growth is over 30% year-over-year in RMB terms, but the expansion in last trailing 12 months is just 25%. And also number two is, we’ve built a standardized and modularized and systemized operating process. So, you see the results. We achieved outstanding improvements in the operational efficiencies, and we get a lot of leverage on the selling, marketing, and G&A expenses. And finally, we're seeing the revenue acceleration. Typically, we're taking market share from the small player in the market. So, the revenues are very good. And I think those three reasons get us the better results of the margin expansion. As I mentioned in the prepared remarks, in the rest of the year, even in the Q3 and Q2 in fiscal year running, I think we’ve still got more leverage going forward. So, we believe, we will have the margin expansion in the rest of this fiscal year, and even for fiscal year 2021 I think our margin will get the expansion as this year, okay? And the revenue breakdown, yes, in the Q3 revenue guidance, I think the K-12, business will grow by 40% in RMB terms. What I’m saying is in RMB terms year-over-year growth 40%, and overseas test prep I think to the low-single-digit growth. And the domestic test prep, it will be down by let’s say 3% to 4%. And the overseas consulting business, the growth will be over 20%. So, this is the breakdown of the Q3 guidance.
Operator: Your next question comes from the line of Yuzhong Gao. Please ask your question.
Yuzhong Gao: Hey, Stephen, Sisi. Congrats on the very strong results. So, we noticed that you seem to have revised up your capacity expansion target from 20% to 25%. So, how should we think about the margin expand -- scale in the second half of '20 -- fiscal year '20?
Stephen Yang: Okay. Yes. We -- this quarter, the quarter-over-quarter expansion was 6% combined with 3% in Q1. So, we got 9% in the first half of this fiscal year. And typically, in terms of the seasonality, we opened more learning centers in the second half of the year. So, it's more backloaded. And so, I think we believe the whole year expansion plan will be somewhere around 20% to 25%. Actually, it's close to 25%. But, the topline growth will be somewhere around 30%. I think it’s impossible to over -- to get over 30% topline growth in RMB terms. So, in the rest of the year, as I said, I think we do have more leverage on the GP level and the SG&A level. But typically we don’t give the detailed guidance of the margin expansion in the next quarter. But I believe we can get the margin expansion in the rest of the year and the year after.
Operator: Your next question comes from the line of Tian Hou of T.H. Capital. Please ask your question.
Tian Hou: The question is related to your regional expansion. So now we have 1,300 -- more than 1,300 learning centers. So, for the newly -- for the new learning centers you're planning to open, where are those centers going to be, in what kind of a region? And to support the additional expansion, 20% to 25% and how do you prepare your teachers’ force, the team of teachers? So, that's the question related to expansion.
Stephen Yang: Yes. Tian Hou, we have 1,300 learning centers in total, and we plan to open let’s say the 20% to 25% new capacity in one year. And so, most of the new learning centers we set out going forward will be happening in the existing cities. Internally, we only allow the good performing schools to open more learning centers in those cities. And -- but, we have another business model called Dongfang Youbiao. So, it belongs to Koolearn and . And we will open more of the new business in low-tier cities. There’s two ways. For traditional offline business, we’ll open more cities -- schools or learning centers in existing cities. And as for teachers’ resource, we believe we pay the best in the market to our teachers. And also, since our last year, we built up the online teachers’ training system. So, that means we have more ability to generate or produce more qualified teachers than before. So, we believe we have the more qualified teachers to support the new opening of the new learning centers going forward.
Operator: Your next question comes from the line of Alex Liu of China Renaissance. Please ask your question.
Alex Liu: I just wanted to follow up first on Tian's question. Could you share more color on, for example, how fast is the capacity growth in top cities, for example Beijing right now? And a follow-up question, I think the overseas test business is growing, if I remember correctly, it’s low-single-digit growth this quarter. And may I know what's the reason behind this seemingly a little bit unexciting growth in the past few quarters? Thank you.
Stephen Yang: Yes. Actually -- thanks Alex. Actually, we opened the learning centers almost everywhere. Basically, that city got the better results in last trailing 12 months. So, we opened the learning centers in the top tier, tier 1 or tier 2 cities and we opened -- we also opened the learning centers in like, tier 3, tier 4 cities. So, the only one indicator for us to decide whether or not open the learning centers is the performance of that school last year. But, I think even for the big cities, like Beijing and Shanghai and Wuhan and Guangzhou, I think there is a lot of room to open more offline learning centers. So, yes. And the overseas test prep, yes, this quarter, the numbers is no good, only the 5% in RMB terms year-over-year growth for overseas test prep business. I think, the main reason is because the United States, China, the two countries’ relationship change. So, I think non-United States based business [indiscernible], where other subjects [indiscernible] but the United States related businesses kept flattish this quarter. And in the Q3, I think the growth will be flattish again. So, I think, this is the main reason.
Alex Liu: Okay. Sorry, one more follow-up. On the gross margin, there seems to be notable jump this quarter. May I know, what's the driver behind this, this notable improvement on the gross margin? Thank you.
Stephen Yang: Firstly, the revenue growth beat our guidance. As I said, we’re taking market share from the small players and also there are lot of schools provide very good numbers of this quarter on top-line growth. And certainly, if you compare the top-line growth with the expansion, capacity expansion, you know we have the better leverage on the rental side. And yes, I think those are the two key reasons to explain the GP margin expansion. Okay.
Alex Liu: Okay. Thank you.
Stephen Yang: Okay. Thank you, Alex.
Operator: Your next question comes from the line of Lucy Yu of Bank of America. Please ask your question.
Lucy Yu: Hi, Stephen. I’ve got one question on the cross-scheduling. So, actually this year, Chinese New Year is earlier than last year. So, is it fair to say that we started our spring semester a little bit earlier than last year? So, theoretically, in February, we are seeing more positive benefit from this kind of calendar shift, is that true? If so, can you give us a quantified impact on the cross-scheduling? Thank you.
Stephen Yang: I think, yes. This year, the Chinese New Year is a little bit earlier. But, I think the impact from the cross schedules, the impact is very small, very minimal. But, I must mention that typically -- last year the Q2, we started to do some like facility movement and cross scheduling change in last year Q2, so, which led to a postponement of some K-12 classes from Q2 to Q3 last year. So that means, last year -- this year, we have easier comparison in Q2 but a little bit harder comparison in Q3. But anyway, it's a seasonal or just tiny difference, issue is not a big.
Lucy Yu: Okay. Thank you. And the second question is that in the first half, you have already expanded your non-GAAP operating margin by close to 5 percentage points. This is higher than your previous expectation of a 1.5% to like 2% for the full year. So, is it fair to say, the risk is on the upside to your full year guidance in terms of margin? Thank you.
Stephen Yang: Yes. I think -- I don't want guide the second half the year margin, the guidance. But, we do believe -- we will have the margin expansion in the Q3 and Q4. We'll see. I think for the whole year, the margin will be better than we expected several months ago.
Operator: [Operator Instructions] Your next question comes from the line of John Choi from Daiwa. Please ask your question.
John Choi: Hey, Steve and Sisi. Thanks for taking my question. I have a question on your online. I know, Koolearn basically on the call said, they’ll step up more opening up in the lower tier cities. Can you kind of give a sense, will the EDU and Koolearn in general will kind of step up investment in online. And as a result, we'll see more on the backend loaded for the fiscal year in terms of marketing expenses and user acquisition costs? And just quickly after the regulation, which has been in place for more than about a year on the offline schools, are you seeing more visibility or better visibility compared -- given that the smaller players are being phased out, and as a result, you're seeing higher retention rate and better capacity growth in selected regions? Thank you.
Stephen Yang: Yes. So, the Koolearn, investment on Koolearn, yes, this year, we started to invest on the Koolearn.com, it includes the content development for teachers’ training or R&D and some marketing expenses since this fiscal year. And in the first half of the year, the margin drag from the Koolearn to EDU is -- roughly is 100 bps. Okay? This is the margin impact from the Koolearn for EDU. And, in the second half of the year we expect -- we still have some -- the negative impacts of the margins from the Koolearn. But, we believe the margin expansion of the core business or our school business, offline business, will cover the margin pressure from Koolearn. So, we believe on the whole, our margin will be expanded in the rest of the year, even though we spend a lot on the Koolearn. And, your number two question is about regulation. Last year, there were several of the new regulations. But as I said in the last two earnings calls, we almost meet all the requirements by new regulations in almost all the cities. And we have seen some small players disappear from the market and we have seen some students during our classes who were the students from the small player. So, I think our target going forward is to provide the better service to the Chinese students. And we believe we can take more market share from the old players in the market. Thank you.
Operator: Your next question comes from the line of Binnie Wong of HSBC. Please ask your question.
Binnie Wong: So, question here is that if you look at ‘20 like past year right, we see a wave of a lot of online education companies, small or middle size ones compete, especially, if you see the user acquisition cost has been rising up a lot. So, if you look into 2020, how do you see -- I mean, calendar 2020, how do you see that will change? Do you see that -- how our marketing strategy would be different from our players? And also, if you look at the I guess the deceleration of growth in Koolearn, do you think that we will continue or there will be some drivers to re-accelerate the online business growth? Thank you.
Stephen Yang: Okay. I think, firstly, Koolearn has been in transition mode in last two to three quarters, as you know, we changed the key members last year and we prefer to keep the new management team members more time. And, education is very special business. We don’t intend to do the business too fast by like spending the crazy dollars on the marketing activities. So, even in last year, we didn't attempt, like burning the money to acquire the students. And going forward, I think we will allow the Koolearn to spend a little bit more on the marketing expenses. But anyway, it's not a huge number. We prefer to make the more or huge investments on the R&D and like the teachers training or the product itself. This is our strategy.
Operator: Your next question comes from the line of Alex Xie of Credit Suisse. Please ask your question.
Alex Xie: So, I'd like to ask about our magnitude of utilization rate improvement. I think, in the last quarter's earnings call, we mentioned it was 21% and 2% year-over-year increase. Thank you.
Stephen Yang: Yes. this year the -- I think the utilization rate for this year is somewhere around 21%, which means the we got 200 [ph] bps up of the utilization rates. So, that's why you see the margin expansion. And so, going forward, as I said, we plan to open 20% to 25% new learning centers. And it's bringing us like 30% top-line growth in RMB terms year-over-year. So, I think, you will see the high utilization rate going forward in the rest of this fiscal year and the after.
Operator: Your next question comes from the line of Sheng Zhong of Morgan Stanley.
Sheng Zhong: I wanted to ask a question about our dual-teacher model, because you are still adding more dual-teacher in the cities. So, can you share some operating data about the margin of dual-teacher model and how -- what the current class and what the average class a teacher can teach in the dual-teacher model? And at the same time, I noticed that you have -- you still invest a lot in your digital technology. Wondering this is partly because of this dual-teacher model. And if possible, can you share more color on the spending going forward?
Stephen Yang : Okay. Yes, dual-teacher model. Yes. We changed our dual-teacher model strategy last year. So, we focused more dual-teacher model in the Hubei and Hunan. So now, we have the 7 low tier cities for POP Kids and U-Can programs to buy the dual-teacher model. And now, the revenue contribution from the dual-teacher model is very small. So, I think, the growth is very high, but revenue contribution is very small. And now, I think it's too early to say the margin of the dual-teacher model, because it's in the early stage. But it's relatively, as I said, I think dual-teacher model margins should be higher than the offline business. And this quarter, the OMO investment -- this quarter, we invested $44 million on the OMO ecosystem. I think, this is on track, because, we started to invest on the OMO things three, four years ago. And we started to bear fruits since last year. And I think this is - this year's very good result. I think that means we bear fruit from the investments we've made several years ago. So, the whole year, I think we planned to spend somewhere around $150 million to $160 million for the whole year. It's a little bit higher than we expected several months ago. But, I think, even though we spend a little more, but it should be covered by the offline school margin expansion. So that would be okay. We'll see the overall margin expansion, even though, we spent a little bit more.
Sheng Zhong: Yes. We're happy to see you spending more on the technology improvement. So, can you give me some color on the spending areas of our technology?
Stephen Yang: Typically, we hire more IT people and the content development people in the head office for -- to provide more -- the better products for offline schools and the dual-teacher model schools. And also, we hired some -- the new people work for AI department. And, yes, so I think most of the investments we spent is only -- is happened in the head office. So, -- but, we believe it will bring us the better student retention rates going forward. And do we believe this money -- we spend the money today will bring us the better quality products in the future.
Operator: Your next question comes from the line of Hugo Shen of Macquarie.
Hugo Shen: I wonder if management could give us the breakdown of enrollment growth by business in the quarter.
Stephen Yang: Enrollment. Do we disclose the enrollment breakdown?
Sisi Zhao: You can send email to me and I'll send the details, okay, after the call?
Hugo Shen: Okay. Thank you.
Operator: Your next question comes from the line of Felix Liu of UBS.
Felix Liu: So, two quick questions for me. One is that you mentioned the ramp-up is getting faster than expected than previously. So, could you share as the latest timeline to ramp up a new center? And second one is a follow-up to the previous question on the OMO investment. So, I understand a lot of the costs are in staff salary. So, going forward, if we look at the second half of next year, do we plan to further increase the headcount or is it likely to stay at this level?
Stephen Yang: Yes. Historically, let’s say, the two to three years ago, typically, we needed 12 months to get at breakeven point for the new learning center. But now, it's only spend five to seven a month to get breakeven point. So that means, we ramp up new learning centers faster than before. And, I think, this is one of the reasons that we decided to open more learning centers in the every year. And your second question is about the 0 investments. Yes, I think we will have more people, more qualified, more talented people work for the IT departments and the content development team, also for the AI department. Because, firstly, I think it's a good investment. We spend more money today that we get better future. But anyway, I think total spending, it will be controlled by the management team. We don’t want to waste the money. So, as I said, even though we spend a little bit more on the OMO investment, but we do believe we have the margin expansion going forward, for the second half of the year and a year after. Okay.
Felix Liu: Okay, great. Thank you. And glad to see we have the budget in the longer term growth. Congratulations again on the strong quarter. Thank you.
Stephen Yang: Okay. Thank you, Felix.
Operator: You next question comes from the line of Christine Cho of Goldman Sachs. Please ask your question.
Christine Cho: Thanks, Stephen and Sisi. Just a quick question on the revenue guidance. You mentioned that you consider the Wuhan situation in terms of coming up with third quarter guidance. Can you give us a little bit more detail here? And also, if this situation prolongs, what are some of the alternatives you can consider to kind of mitigate the impact from this situation? Thank you.
Stephen Yang: Yes. We -- our Wuhan school actually decided today to move the two days courses before Chinese New Year to sometime after the Chinese New Year because of the new business. But also, we have the plan B. Let's say, if after the Chinese New Year, we cannot run the business by offline, we will make it up by the online courses. Actually, we are ready. But so far, we have not made a decision of the class adjust or suspend in the other cities, except for Wuhan. So, Wuhan is the only one. And yes, we have taken some impact from this in Wuhan but the amount is not material. Wuhan’s revenue contribution for New Oriental is 4%. But, don't forget, 45 days have passed. And also, we have to make plan B to make it up. So, I think the impact will be immaterial so far by our current estimation. Okay?
Christine Cho: Thank you.
Stephen Yang: Thank you.
Operator: Your next question comes from the line of Youngrin Kim of CLSA. Please ask your question.
Youngrin Kim: Hi, management. Congrats on the good quarter. I have two questions. The first is, how much of revenue growth is actually coming from organic growth versus stealing market share from other small players? That's my first question. My second question is, I know in the past, you have provided mid to long-term margin guidance of 17% to 19%. But, do you still stick by this margin guidance or do you see room for increase or things like that? Thank you.
Stephen Yang: Okay. Yes. The organic growth, I think, typically, in the first 12 months after the new learning centers opening, it will bring us, let’s say -- for example we opened 20% new learning centers. But in first -- year one, it will bring us 5% to 10% new revenues. And so, all the others are the organic growth. And the -- we don't make -- we don't have the numbers of how much market share we get from the small players. We just do our small business to get a 30% top line growth. That’s it. Okay? Sisi, do you have the numbers?
Sisi Zhao: No. It's hard to quantify. But, we keep getting market share from small players every day, almost every day. And the market growth is like 10%, 15%. But our K-12 business are growing over 40%. So, definitely, majority of the growth is from taking market share from other small players in the -- in each city.
Stephen Yang: And the long-term margin guidance, we don't change the mid to long-term -- actually midterm it’s medium-term margin guidance. We keep it as a 17%. But, this year, the market expansion is better than we expected. And we are more optimistic on the overall margin expansion in the rest of the year and the year after.
Youngrin Kim: Thank you very much. 
Stephen Yang : Thank you.
Operator: Your next question comes from the line of Joy Wei of 86 Research. Please ask your question.
Joy Wei: Thank you for taking my question. So, my question is, again in the quarter, we saw that U-Can and POP Kids growth accelerated. What's driving that? Do you see more opportunities in terms of prospective like cross offering and also product format? Thank you.
Stephen Yang: I think that there are several reasons. Number one is, if you remember clearly, in the last quarter’s earnings call, the summer promotion and retention rate is 5% higher of this year than last year. So, this is number one reason. Number two, is we are seeing the higher student retention rates for both U-Can and POP Kids program. Actually, the U-Can business, the retention rate is close to 80%. And the POP Kids retention rate is close to 90%. So, it's a higher than the those numbers of last year. And third, we don't spend a lot on marketing expenses, selling and marketing expenses. And this quarter, it’s just increased by -- am I right, by 17%. Okay. I think we typically will rely on word of mouth to acquire the new student enrollments. And that means we're providing better -- the products to the students than before. So, it bring us the good result, better result than we expected.
Operator: We are now approaching the end of the conference call. I will now turn the call over to New Oriental's CFO, Mr. Stephen Yang, for his closing remarks.
Stephen Yang: Again, thank you for joining us today. If you have any other further questions, please do not hesitate to contact me or any of our Investor Relations representatives. Thank you. Thank you, guys.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.